Dave Petratis: Good morning. Thank you for joining us for the first quarter review of Quanex Building Products and our 2009 business outlook. On the call with me today is Brent Korb our Chief Financial Officer, and Jeff Galow, our Vice President of Investor Relations. Today’s call will include a wrap up of our first quarter results and a brief financial overview, and a general outlook for the remainder of fiscal 2009. Our comments this morning include forward-looking statements about the future prospects of Quanex building products. Please refer to our SEC Form 10-K filed in December 2008 for a complete forward-looking disclosure statement. The first quarter earnings release is available on our website at quanex.com. The conditions of the company's end markets during the first quarter can best be described as dreadful. With demand weaker than we have seen in decades, new home starts were down a shocking 48%, compared to the year ago quarter, while remodeling and repair activity was estimated to be down 15% over the same period. Aluminum demand fell worldwide and aluminum prices hit record lows at $0.63 a pound. At our engineered products segment, business was ugly and we fought for every dollar of sales in the quarter. I attended this year’s Home Builder Show recently, and I can tell you first hand the comments coming from our customers describe market conditions worse than many can ever remember, and most were stunned by the sheer magnitude in the drop of business in December and January, far beyond any normal seasonal slowdown. Engineered products sales were down about 26%, better than our broader market, but certainly nothing to brag about. There is little doubt that the size and strength of many of our customers, along with our ongoing ability to generate additional sales through new programs served us well. We continue our efforts at educating our customers as just how strong our value proposition is to them, particularly in difficult times. We are also reminding them of the benefits of a supplier with excellent financial strength, as they become aware of the weakening companies within their supply chain. On our last conference call, I told you that one area where I believe we can add substantial value to our sales and marketing efforts is by taking a more disciplined approach to the sales opportunities we have to blend the various products and skill sets of our engineered products businesses. In the past our business generally developed and marketed their own unique products and services independent of the sales efforts of other divisions. By working hard on this issue in 2009 and '10, we will create an even better value proposition for our window and door customers, by marketing to them a full slate of company wide products, systems, and services that represent the best design in engineering from our combined businesses. To launch this initiative, we had our first ever joint meeting with the various engineered products sales teams in January. I would characterize the meeting as very productive and comments taken from the team members indicate a strong desire on their part to make this important initiative happen. Certainly, nothing makes a sales force happier than to give them more opportunities. We have specific customer targets, combined with a variety of products to grow market share in a down market. We’re developing a Quanex Business Products sales brochure that will not only pitch the virtues of our various engineered products businesses, products and services to customers, but we will also carry a strong financial message from Quanex, a first for our business. Let’s turn to the first quarter financial results for the engineered products segment. We lost about $4 million in operating income in the quarter, compared to making $2 million in the year ago quarter. The 48% decline in year-over-year home starts obviously hammered the demand, and the subsequently poor operating leverage that resulted for much lower volumes killed us in the quarter. The consolidation of two Fenestration Component facilities at our home shields division into a single facility is complete and we will benefit from the resulting lower operating costs in increased operating efficiencies at that location. We continue to look for opportunities for additional plant consolidations where they make sense, and by that I mean where consolidation will not negatively impact our ability to meet customer’s stringent delivery and service requirements. Let’s now move onto Nichols Aluminum. I started by saying our financial performance was very disappointing. The magnitude of the drop in customer demand we experienced during the month of December and January at Nichols was both unexpected and unprecedented. Nichols was challenged on two fronts, very low volume and falling aluminum ingot prices, which in turn left us with too much high priced inventory. We originally forecasted Nichols at a 12% drop in shipment; they came in at 39%. This left us with excess inventory at high prices due to the fall in aluminum ingot. The absence of demand limited our ability to get inventory through this system. During the quarter, we shipped only 36 million pounds of aluminum sheets, down from 58 million pounds in the year ago quarter, and down 81 million pounds that was shipped in the last quarter of our fiscal year 2008. We had an operating loss approaching $8 million compared to operating income a year ago of over $5 million. We are taking aggressive actions to reduce scrap, work in process, and finished good inventories during the next two quarters. The near term outlook for building and construction aluminum sheets sales is poor, and we must find ways to make meaningful financial improvements at Nichols. Recent actions include idling all rolling capacities at both the Alabama and Davenport facilities, significantly scaling back our paint line operations, and reducing operations at the mini-mill to four days per week, allowing us to operate with fewer shifts of employees. At this point, I'd like to turn the call over to Brent, who will take you through some additional financial highlights.
Brent Korb: Thanks, Dave. And welcome to everybody on listening to the call. The company reported a loss of $0.21 per diluted share from continuing operations, before taking into account $3.02 per share of impairment charges. There is a GAAP reconciliation table in our earnings release, which shows this in more detail. Moving the discussion to cash flow, we were disappointed that cash from operating activities for the quarter was a negative $2 million. Even with the expectation of lower operating income in our seemingly slowest quarter, we were targeting positive cash from operating activities. The extreme falling demand Dave discussed earlier left us with more inventory than I would have liked. There is definitely more room for improvement with inventory levels, and we will get ourselves there. Maximizing our cash flow is my top priority this year. And I continue to spend considerable time conveying the importance of this issue across the company, and more importantly, what it will take to show meaningful improvement. I certainly expect to see progress in this area in the near future. Our cash and equivalent balance at quarter end was a very healthy $75 million, and I am pleased to announce that this amount includes the final $15 million tax true up we received from [Grudall] during the quarter. Total debt to capitalization remains under 1% comprised of an industrial revenue bond totaling some $2.5 million. The balance sheet remains strong and our focus on working capital is further intensified in light of deteriorating market conditions. Before I move on, let me draw your attention to the fact that or reduced earnings over the last 12 months could impact the amount available to us under our existing credit facility, absent any pro forma benefit from a potential acquisition. We are focused on this issue, and will do everything we can to maintain the existing credit facility giving us the very favorable terms versus current market terms, and you may recall, we have no borrowings against this facility at this time. During the quarter, we booked to charge for asset impairments of $137 million pre-taxed, primarily associated with goodwill related to both, Engineer Products and Nichols aluminum. A portion of the charge related to goodwill is an estimate at this time, as we have not yet completed our final analysis. While we typically perform goodwill impairment testing, as of August 31, the recent large drop in our market capitalization, among other things, required us to perform an interim test during the first quarter. We expect to complete our analysis and book the final charge by the time we announce second quarter results. With that, I'll turn the call back to Dave.
David Petratis : Thanks Brent. Moving the discussion to the outlook for our markets, the 2009 forecasts for residential construction in remodeling is extremely discouraging. Global insights, estimates for calendar 2009 new home starts continue to drop, with starts now expected to be around 550,000 units, down from about 900,000 units in 2008. A 40% drop. I believe the experts are still too optimistic in their thinking, given the impact the recession will likely have on our in markets over the next 12 months. I have little doubt that new home starts will fall again from current expectations, and we are proactively adjusting our operations to meet the new reality. Today, I see a very difficult road ahead and refuse to discuss a recovery of any kind, until the key drivers of our business show signs of improvement. Long-term, the key macro economic drivers that influence our business, housing, construction, transportation, and population growth will benefit Quanex Building Products. In the meantime, you can expect us to continue to out perform the market, due to the new programs, innovative new designs at our engineered products businesses. We will press harder for more company-wide cost reductions, and we'll continue to drive price realization wherever possible. And we will get our inventories down. The strength of our balance sheet from both cash balance and absent of debt, puts us well above most others in the building products space. This strength will provide us the means to fund organic growth opportunities and allow us to make well debted acquisition at fire sale prices that will grow the value proposition for our long-term shareholders. With that, we're now ready to answer your questions.
Operator: Thank you. We will now begin the question and answer session. (Operator Instructions) Our first question comes from [Terence Eastburn – CJS Treasuries].
[Terence Eastburn – CJS Treasuries]: I wanted to start with your metal inventories, at the current levels of both demand and the inventories, how long before you get back to a more traditional level?
David Petratis: Well, we are going to be very aggressive during the second quarter to get back to normal. And we have plans to even get beyond what one would call normal. So, over the next two quarters we hope to get back to normal and go beyond that as far as inventory reductions.
[Terence Eastburn – CJS Treasuries]: How long does it take you right now to turn your scrap inventories?
David Petratis: Well, it depends on what you do. But really our plans at this point are basically quit buying; only buy purely what we absolutely have to, and under that basis, we can get those down relatively quickly. So, within is it 45 days, 60 days based on level of the sales and where we are right now. But, we will drive that down further and further.
[Terence Eastburn – CJS Treasuries]: And when you do have to buy scrap right now, what kind of prices are you seeing?
David Petratis: Yes. I mean, we don't get into that disclosure. We buy such varied grades, but clearly it's down over where it's been over the last few months. You can look – there's been downward pressure on scrap, but it tends to be stickier. But, I believe public information out there, scrap was some $0.53 in December, it's down to around $0.35 now. We buy different blends of scrap so that those prices would fit into a scrap range, but it's clearly headed down.
[Terence Eastburn – CJS Treasuries]: That's very helpful. Thank you. And then one more, you're obviously in better shape financially than a lot of your competitors. What are you doing, or can you do to take advantage of [distress] in better than the market?
David Petratis: We've had strong suggestions from our major customers. I would – Anderson, Pella, Jeld-Wen, as they understand our capability to step in and quote work that they may have been sourcing somewhere else in the past. We've also been very aggressive to make sure that our customers understand that there is a weakening supply chain and that we're standing strong.
Operator: Your next question comes from Peter Lisnic – Robert W. Baird.
Peter Lisnic – Robert W. Baird: I guess first question is on the cash flow, in terms of working capital this year, is it safe to say that it will be a source of cash for you for the year?
Brent Korb: That is clearly the – we're not going to get into giving the guidance, but that is clearly the focus of our efforts this year, and we will drive that down, so one would expect working capital to be a producer of cash during the year.
Peter Lisnic – Robert W. Baird: Okay, and you're basically a month into the second quarter, can you give us a sense of how a couple of the efforts have been so far to bring the inventory at Nichols and Mikron, specifically?
Brent Korb: Yes, I don't want to get too far into it, but just to say that the message is loud and clear, only buy what you have to buy.
Peter Lisnic – Robert W. Baird: Okay.
David Petratis: Pete, I would also add you know we're pushing hard to bring the level of inventories across the core business down to what I'd call historic lows. Our emphasis is to plow new ground in terms of the velocity that we can generate in our manufacturing processes and my expectations are high.
Brent Korb: And I would also jump in just to say I mean, we had plans to pull it down in the first quarter, and so we have adjusted how we're going about it here in the second quarter where our plans of getting inventory down is based on assumptions much worse than what pundits might tell you out there to prevent against being surprised again. We do not want to be having this same conversation three months from now.
Peter Lisnic – Robert W. Baird: Right, but it also sounds like you're pushing toward a longer term improved structural [inaudible] I guess, if that's the right phrase, can you give us a sense of what you might be shooting for on that front?
Brent Korb: I'd prefer not to get there.
Peter Lisnic – Robert W. Baird: Yes, it's kind of hard in this environment.
Brent Korb: Yes, I mean clearly we, a lot of what we're doing, we want to maximize the impact of this from a long term perspective as you say, some of it will come back as we rebound, but we'll keep as much out as we can long term.
David Petratis: I would say too it's very unique a demand requirements, in terms of this unprecedented drop, we're having dialogues with customers that would not have been held a year ago. And it's what inventory should we keep on, what are we rewarded for, really looking at our value proposition, under a new demand paradigm, what makes sense for Quanex, what makes sense for our customers. I think we'll harvest some reduced work in process as a result of that.
Peter Lisnic – Robert W. Baird: Okay, good on that one, and then if you could Dave, just maybe talk a little bit about the cost structure and how well it might be aligned to this adverse end market environment and what you've been able to accomplish so far from a structural perspective, i.e., longer term profitability improvement.
David Petratis: I would say, versus Q1 of a year ago, our structural costs were down double-digits. We continue to work on that because I have in the first six months I was here, looked at global insights and felt they were smarter than I was. I've gone back and really challenged our team that it's going to be a longer tougher road because there's five or six key drivers that influence our business and until those turn, I think we're going to have a tough demand pattern. So I've lowered the bar and said, let's size to that level.
Peter Lisnic – Robert W. Baird: And when you say structural cost down double-digits, is that dollars or percent, and I assume that means a permanent savings.
David Petratis: That's dollars, and if I would say in terms of heads versus, I presented this to our board yesterday, versus the peak, pick the peak, let's say mid 2006, our head count both salary and hourly is down 36%.
Peter Lisnic – Robert W. Baird: Okay, that is it for me. Thank you for the information.
Operator: Our next question comes from Robert Kelly – Sidoti & Company, LLC.
Robert Kelly – Sidoti & Company, LLC: I had a question on the impairments, exactly what silos were impaired, and maybe just some more help there, and what was written down on the intangible side?
Brent Korb: Yes, the first, as you go through this process, I mean we look at intangibles first and the intangibles we only had intangibles really at Tru Seal, Homeshield and Mikron would be the three business units where we had them, and I think the write downs off the top was really at Tru Seal and Homeshield on the intangible side, which totaled $12 million. On the goodwill side $125 million is across the board at all four business units.
Robert Kelly – Sidoti & Company, LLC: All right, thanks and then on Nichols, you talked about, or maybe across the board you talk about aggressively running down inventories, I mean, are you talking about discounting, to move inventory out? How do we think about that now?
Brent Korb: No.
Robert Kelly – Sidoti & Company, LLC: So not disrupting the current pricing.
Brent Korb: No, no, more on purchasing practices than doing anything on the sales side to get rid of it.
Robert Kelly – Sidoti & Company, LLC: Or lack thereof, if we were to use, I know there's a lag raw material issue in Nichols, on replacement costs at this level of volume, is Nichols operating profit, are they in the black?
David Petratis: The question is that a replacement cost level once we get the inventory out.
Brent Korb: We prefer to stay away from those, the break even kind of questions. It's just is not something that we've disclosed publicly, but clearly based on the inventory build that we've managed to achieve here, at replacement costs it looks a lot better than it does today. I don't mean to dodge it, but we're just not going to put that out there.
David Petratis: We believe that our position at Nichols is outstanding in terms of our being the low cost producer in this space we operate in. Our challenge with L&E prices at historic lows, we need those prices to lift to be able to have an intelligent answer on that question. There's a report out there. It's called The Harbor Intelligent Report on Aluminum, and it talks about the challenge of the industry on a global basis that it starts with that L&E price and the lack of demand.
Robert Kelly – Sidoti & Company, LLC: Understood. Thanks.
Operator: Thank you. Our next question comes from Jeff Kasprzak – BB&T Capital Markets.
Jeff Kasprzak – BB&T Capital Markets: I wanted to ask you, usually your business is seasonal or there is some seasonal pick up as we get into the Spring and Summer, but given the housing starts and permits continue to deteriorate even at a faster clip, is this a year where you think we might not see any seasonal pickup?
Brent Korb: I believe we'll see a lift, it will be anemic. My direction for the business units, we'll look at last summer and cut those numbers significantly, but I'd say we're very conservative or pessimistic in our outlook but we when the ground unthaws, in places like Omaha, Nebraska, and Minneapolis, Minnesota, there's going to be some things happening, and so we'll see a lift, but we're pretty pessimistic on what that's going to give us, and it's driven by starts, the inventory of existing homes, permits that we don’t see moving the right direction.
Jeff Kasprzak – BB&T Capital Markets: Right, okay, and you guys in previous calls have mentioned acquisitions a couple of times and I'm just wondering what, given how poor the industry overall industry condition is, I mean, why even consider making an acquisition right now? Why considering paying control for anything, if given your strong strategic position it's as likely that some competitors fall away, versus you having to pay to take them out?
Brent Korb: We would be interested in assets that are in severe distress, that we could get a dime on the dollar, a nickel on the dollar and could immediately generate profit for us being able to move in and take aggressive costs out fast. So that limits the potential prospects but I want you to be assured that as opportunities are there that make sense for shareholder wealth creation and where we want to go, we’re not going to walk away from it. But we’re talking about a pre-limited set.
Operator: Thank you our next question comes from Barry Vogel – Barry Vogel & Associates. Please go ahead.
Barry Vogel – Vogel & Associates: Good morning. I have a few questions for Brent. I didn’t notice any comment about LIFO in the press release. I would think when you program your inventories; there might be some LIFO credits. Can you explain that?
Brent Korb: Yes, I mean the way we’ve historically gone through our LIFO adjustments throughout the year, is basing it on a forecast of where we anticipate ending the year. And I would say what the calculations of where we were if we ended the year at the end of the first quarter, was not a immaterial number and quite honestly was too hard to really estimate where do we think L&E prices are going to be at the end of the year, but to your second part of your question, yes as you pull inventory down you obviously will release some of that LIFO reserve. So clearly that will have an impact as we move forward.
Barry Vogel – Vogel and Associates: Now you made a comment in your press release you expect to have an operating loss in the second quarter, as well as the year. How sure – I mean you obviously are very convinced things are going to be terrible for quite some time. That’s a fairly strong statement. Is there any chance that you might be wrong?
Brent Korb: Well I will tell you what’s really driving a lot of that is this inventory issue that has built up, both in the first quarter and will impact us in the second quarter so that’s really what’s driving that. Today’s point we are planning and going about business for the last three quarters with a very pessimistic view. Could we be pleasantly surprised? Our expectations are, how we’re setting up our business is that any surprise would be to the up side because of the pessimistic view we’re taking. However, the loss that will be generated because of this inventory issue in the first and second quarter, I think presents that challenge that’s not likely for us to overcome that in the second half of the year.
Barry Vogel – Vogel and Associates: Okay and I have one other question, have you changed your capital expenditure outlook for this year?
Brent Korb: It is something we have looked at very closely and yes we have asked each of the businesses to go back and take a deep dive on that so we would expect it to come down. We just haven’t developed the exact number of what we think that will be just yet.
Operator: Thank you our next question comes from Craig Bell – SMH Capital.
Craig Bell – SMH Capital: Yes, good morning guys. Just a couple of quick questions on the inventory, first, just want to confirm that you think on the aluminum side that you’re going to work through all the higher priced stuff in the second quarter. Is that correct?
Brent Korb: That is our plan to get work through all the inventory and get down to normal levels here in the second quarter. Yes.
Craig Bell – SMH Capital: Okay and then as you look out through the balance of the year on inventories, I mean how low do you think you can get that down to, I mean whether that’s in terms of number of days or absolute number and just sort of how much cash do you think you can pull out of the inventory side?
Brent Korb: Well, I'm not going to give a specific number but as – our inventory at the end of the first quarter I think was $58 million. We can make considerable impact on that balance and I don’t want to liken to give you an exact number, but we can pull that down below – if you did a day by day standpoint we would like to get that below even what an average day’s inventory would be over history.
Craig Bell – SMH Capital: Okay.
Brent Korb: And we quite honestly, we have the ability to do that a little bit easier because we have taken out some capacity in different places, different facilities, so that allows us to get below historical statistics.
Craig Bell – SMH Capital: Okay and then in the press release you talked about focusing on receivables and obviously you collected quite a bit and brought that balance down in the quarter, but obviously that was offset by reduction in payables as well.
Brent Korb: Right.
Craig Bell – SMH Capital: Are – is the reduction in payables tied to the receivables collection and you’re just paying that down or are you seeing more stringent terms on the payables side?
Brent Korb: Nothing as it relates – on the payables side, nothing as it relates to terms; that’s just really getting at the volume of purchases and the less we produce the lower are payables balance would be. But if anything, we’re working very closely with our vendors to push out terms as much as we can.
David Petratis: I would consider the drop in payables that we experience as a clear indication of our intention to get the inventory down.
Brent Korb: Yes and I mean, I would say if you really look at those statistics on our working capital in the first quarter, I mean receivables and payables moved as one would expect in a decrease of business. It's just inventory didn’t move in line with that, which is the big issue for us.
Operator: Thank you our next question comes from David Cohens – Midwood Capital.
David Cohens – Midwood Capital : In terms of the already two facilities in the EP segment; any other similar structural moves that you’re making? Or is that
Brent Korb: In light of the new capacity or demand, volume demand that we’ve implied it may open up some opportunities. Nothing that we’re prepared to announce but we’re looking at this – we’re certainly mindful that we could be in a position because of weak demand to furlough a facility. I would be hesitant to say that we're going to shut anything down, but part of our value proposition is being in within geographical reach so that we can hit the short lead time requirements, so we could do something that could benefit on an interim basis, but this market will come back and you've got to have that geographical reach to be able to serve your customer.
David Cohens – Midwood Capital: Sure. Okay and in terms of your AR exposure, have you guys experienced any meaningful customers that have closed their doors or you feel like you're reserved against because you're worried that may happen at some point in time?
Brent Korb: So far we have weathered the storm really well. Knock on wood, the few that we've seen have been very deminimus, and we stay very close to our customers, especially those with large balances and try to stay in the know, and we had a few latter part of 2008 that were of concern to us that have all been able to refinance and get us comfortable with the balances, so thus far we've been good about it. I'm constantly focused on keeping our receivables current, because clearly the more you keep it current then the less it's really at risk here.
David Petratis: I would add we've also walked away from some business that players in the space have taken and it's around terms, and our concern about being paid. So I think Brent has set the bar high and we're going to continue to be mindful that we're going to do business with people that can pay their bills.
David Cohens – Midwood Capital: And I – this is not a question, just a comment; I just want to thank you guys for your language is really sobering, but I appreciate your honesty. Most companies wouldn't describe the environment like you guys have.
Brent Korb: You can hang your hat on it, in good times or bad, we're going to be honest with what we say.
Operator: Thank you, our next question comes from Justin Boisseau – Gates Capital Management.
Justin Boisseau– Gates Capital Management: Thanks, I think all my questions have been answered except for one. What about the inventory mix, the $59 million? What's the mix between your aluminum and your engineered products business in that inventory make up?
Brent Korb: Well I don't know that off the top of my head, but the vast majority of it is Nichols driven, that's our Nichols Aluminum business, but I couldn't give you the exact breakdown.
Justin Boisseau– Gates Capital Management: Okay, that's helpful. Thanks.
Operator: Thank you. Our next question comes from Gregory Marcosko – Lord Abbett & Co.
Gregory Marcosko – Lord Abbett & Co.: Just to go back on your discussion of acquisitions, you mentioned customers have pushed you a little bit. I’m assuming that customers are giving you thoughts as to companies that you might work more closely with.
Brent Korb: That’s correct. Let me add a little color Greg, I would say some of our major customers have suggested assets in distress that they depend on from a supply chain standpoint, that we could potentially acquire, as well as existing suppliers that they’re doubtful about and we’re actively quoting that work.
Gregory Marcosko – Lord Abbett & Co.: I see. So competitors in other words. With regard to the write-offs, the write-downs of the goodwill and intangibles, you said that you will chew that up so it’s conceivable that they could be written down a little more in the second quarter, correct?
Brent Korb: That is correct. Unfortunately we’re at the very beginning stages of the process on the step two test side, so we developed what we felt was our best estimate and the guidance kind of guides you towards booking the low end in the range, so we would expect that in the second quarter it would be an additional charge.
David Petratis: And we have a lot of work to finish up there.
Gregory Marcosko – Lord Abbett & Co.: With regard to the sort of the rest of the assets in tangible book, I’m assuming that given you’ve had some consolidations, closures, is there anything left in the asset area that could conceivably be written down as well?
Brent Korb: We feel pretty good with the tangible assets, the PT&E and that kind of stuff. We’ll work through this process on goodwill and we’ll pay attention to what’s left behind on both goodwill, but intangibles would be, it’s a harder animal to get your head around but from a physical tangible asset standpoint we feel we are in very good shape.
Gregory Marcosko – Lord Abbett & Co.:
Brent Korb: I would say that’s not been the case but it’s not a huge amount, unless you’re interested in an old building that was down in Chatsworth, Illinois.
Gregory Marcosko – Lord Abbett & Co.: And then finally, you mentioned the debt facility, is there some issue around that? In other words, it’s empty or you’re not using it at this point, but you said if a business or if the markets or your end markets or whatever got worse, is there some risk to that facility?
Brent Korb: No, the purpose was really just to be full disclosure on. I mean it’s not anything that we know that anyone else couldn’t figure out. If you just take out our trailing 12 months EBITDA times our leverage ratio on our bank facility, and then you would see if we wanted to borrow money today we would not have access to the full 270, unless we made an acquisition that contributed EBITDA, then we would have access. So it’s purely just pointing that out just in full disclosure, because this is the first time where that’s occurred, where we've tripped that line. So, that was the only reason for that.
Gregory Marcosko – Lord Abbett & Co.: All right, but you could add the EBITDA from the acquisitions to it if that were the case?
Brent Korb: Absolutely.
Operator: Thank you our next question comes from Tim Hayes – Davenport & Company.
Tim Hayes – Davenport & Company: A couple of questions on the Nichols side, I was curious on conversion prices for 3105 and 3003, what has the trend been the last few months for those conversion prices? I’m assuming they’re maybe slipping a little bit or are they holding steady?
Jeff Galow: I’m assuming you’re referring to what’s often called the fabrication charge or perhaps the rolling charge. Internally, we would call that spread one. Is that what you’re referring to?
Tim Hayes – Davenport & Company: Yes.
Jeff Galow: What you would find on say over the last six months, there has been a slip in that rolling charge or fabrication charge price. It has not been dramatic, but it is certainly slipping as time marches on. The industry continues to practice pretty good discipline there, but the realities are that this is very difficult and you’ve got people trying to keep plants full or attempting to do that.
Tim Hayes – Davenport & Company: Right, and any worries about that at this point given the financial shape of major competitors?
Jeff Galow: It’s really impossible for us to say. Right, I’m out there doing business every day. We have to react to what the market is doing, so I can’t read the tea leaves there. But I can tell you that all things considered that spread one has held up relatively well given the dramatic drop in demand.
Tim Hayes – Davenport & Company: Right and then final question, when you did your guidance for operating income, was that assuming corporate expense or was that just segment operating income?
Brent Korb: For the first quarter that was excluding corporate expenses, so the $12 to $15 million guidance, is that what you’re asking?
Tim Hayes – Davenport & Company: Actually, going forward.
Brent Korb: Going forward, that’s all in operating income number.
Tim Hayes – Davenport & Company: That’s how we write it too. Okay, just wanted to make sure.
Operator: We have a follow-up question from Barry Vogel.
Barry Vogel – Barry Vogel & Associates: David, we haven’t heard anything about the China initiatives on this call, because of all the stress and duress you have. Can you tell us where you stand there and what’s happening there?
David Petratis: I’d say our expectation is the factory will be fully operational end of the June calendar month. I’d say we slipped a few weeks on that development, it was really getting things through customs, but remember that plant’s set up to be able to shorten our supply line to the solar industry and that is performing to expectations. Second, the opportunity for that facility is to grow within the Chinese market and when it’s up and operational we’ll report on the development of that.
Operator: Our next question is a follow-up from Robert Kelly – Sidoti.
Robert Kelly – Sidoti & Company, LLC: In the past you have put some public numbers around what you though incremental growth from organic new products. Should we be rethinking those numbers at this point?
David Petratis: You need to rethink that based on the fall in demand. I can’t give you a specific. We’re going to update that slide that I think you’re referring to, but clearly that number is a function of new housing starts, repair and remodel, and it’s under pressure.
Robert Kelly – Sidoti & Company, LLC: And then one of the bigger drivers was solar, any weakness there with the retracement of energy prices?
David Petratis: Doesn’t appear. We’re certainly mindful that there’s some darkening clouds over that but our demand has been good. We’re in a good position with what we call our solar edge tape and it was because we got into this five, six years ago and customers are aware of our expertise and they’re coming in so we continue to be optimistic on that space.
Operator: (Operator Instructions). And I'm showing that we have no further questions. I will turn the call back over to Dave Petratis.
David Petratis: Two thousand nine will be a most challenging year for Quanex, but I also know that time is on our side. Between the ongoing governmental efforts to thaw the mortgage credit freeze, attempts to keep shaky home owners in their homes, to improving housing affordability index, and what has to be at some point soon a reduction in the excess housing inventory, Quanex will successfully emerge from the downturn. That concludes today's call. Thanks for your questions. Thanks for joining us, and I look forward to working with you in the future. Have a good afternoon.
Operator: Thank you ladies and gentlemen. This concludes today's conference. Thank you for participating, you may all disconnect.